Operator: Good morning. My name is Melissa, and I will be your conference operator today. At this time, I would like to welcome everyone to Canadian Pacific's Third Quarter 2014 Conference Call. The slides accompanying today's call are available at www.cpr.ca. (Operator Instructions). I would now like to introduce Nadeem Velani, AVP, Investor Relations to begin the conference.
Nadeem Velani: Thanks, Melissa. Good morning, and thanks for joining us. I am proud to have with me here today Hunter Harrison, our CEO; Keith Creel, President and Chief Operating Officer; Bart Demosky, EVP and Chief Financial Officer. Before we begin, I want to remind you that this presentation contains forward-looking information. Actual results may differ materially. The risks, uncertainties and other factors that could influence actual results are described on Slide 2, in the press release and in the MD&A filed with Canadian and U.S. regulators. This presentation also contains non-GAAP measures outlined on Slide 3. The formal remarks will be followed by Q&A. In the interest of time we would appreciate if you limited your questions to two and questions are focused on our Q3 2014 financial results. We allow opportunities for questions relating to mergers and acquisitions in two hours’ time during our conference call on that topic. It is now my pleasure to introduce our CEO, Mr. Hunter Harrison.
Hunter Harrison: Thanks, Nadeem, and good morning to everyone. Nice to be with you this morning. It’s been a very quiet and eventful couple of weeks here for the back-end of the quarter. But seriously I was extremely, extremely pleased with our results. Keith and his operating team continued to impress and produce results that are unprecedented in this organization. I think you saw and most of you’ve probably seen the press release, but as reported, operating ratio was 62.8 which is outstanding in itself. But I think if you really peel back and look at the number a little deeper and you factor out stock-based comp which is very hard for us to predict our control. I think you would actually find that the OR would have been 60.8 if my numbers were correct. So that’s another record in the organization. And I think the significant thing is there is really, that’s the foundation for the plan, our new plan and most of you were present with us for the last Analyst Meeting and so we put this good shape there. Our earnings per share was up $2.31, up 26%. We were pretty aggressive with our share buyback which Bart will talk a little bit about later. So, overall, more records, we’ve been blessed and we’ve been – I’ve been very pleased that with our safety performance which Keith has led hangs on as far as our actions and personal entries and I think there is even some changes coming up there that I think will take us even further. So, overall, a great quarter, starting to hit on all cylinders and pretty excited about the future. So, Keith, over to you buddy.
Keith Creel: Okay, thanks for the comments and I can tell you that, very much appreciate your kind comments. We’ve accomplished a light record operating ratio for the company. We still got a lot more to do. I can’t say more pals for this call today and I’ll let my team know how proud I am of their hard work and their efforts, extremely proud of this just how the group of railroad – that we’ve built and getting stronger every day. We look at more specifically the third quarter performance. I’ll look at last year, a very strong comp, so in spite of those comps to see train length weight and field efficiency continue to improve very encouraging speaks to the strength of – this franchise speaks to the strength of our operating plan of our executing day in and day out and delivers superior level of service that we are able to convert in the marketplace. On the accident side, as you said, very encouraging results as well. The culture has changed and the evolution continues. We’ve got an industry-leading year-to-date frequency severity index of 1.29, next closest in the industry is at 1.92. I’d say that not to boast, certainly again much work left to do when accidents too many. But again the direction this is moving as we evolve this culture as we through the culture combines in a team of railroaders from top to bottom that understand safety is paramount and everything we do day in and day out. We are going to continue to create a foundation that allows us to see with this operating model. If we put two together metric improvement environmental improvement and safety performance that is the recipe for success otherwise that as we produced a record operating ratio. Couple comments on the revenue side, 9% up, very encouraging as well versus third quarter of last year 4% price, 3% volume mix about 2% FX. I think the key takeaway here is removing to the strength of the franchise it shows the diversity in the franchise in spite of some weaknesses in the book of business. During the quarter, they were more than offset by gains we made improved grain domestic and modal. All very strong lines of business for us up about a couple comments, very encouraging on the crude side. Improve in the book of business, revenue improved 9% on a dollars per RCM basis which essentially signals the strong name and the quality of the revenues. We got a lot of questions, I am sure we are getting today about the volatility with the WTI prices that spreads in crude. I’d say in the short-term, we expect volatility, we see limited impact in the near term. Longer term outlook, we are not going to change it. It’s unchanged. Most of our growth as we said in the past, we stick to this. The reality is we are getting a lot of growth in the Canadian heavy side versus the light side and the Canadian side, the people we partner with cash cost. They’ve made significant infrastructure investments. So for the short-term, we are not going to change anything. We are sticking to our guidance and we see again looking forward to what we know get us in 2015 with a run rate of about 200,000 cars. On the coal side, last quarter our margin was a very strong quarter a record quarter for Teck in fact with CP last year. So pretty strong comps again and also compound that this year with the net team outages and some maintenance shutdowns. So we had some weakness in coal. But looking forward, Q4 sales are strong for Teck. We plan to finish the year on plan to no changes there. Couple very encouraging stories. Although this doesn’t move the needle on a huge way. It speaks to the discipline of our approach on the pricing side. Thermal side of our coal is very small piece of the book of business, volume is up and down, but we recently successfully repriced two legacy contracts that I am very happy about. These were contracts that effectively didn’t, they didn’t earn their keys. We did make cost to capital. We weren’t making money on them. One of the contracts, it was a 10 year deal we are actually saying for the privilege of following this coal which is not a very motivating thing do deal with day and day out. But we’ve got those repriced. We got those back out in the market. We are providing service. We’ve extended a little link to home. One of the contracts is certainly earning a fair return to cover the cost of capital which I know Bart is very pleased about. On the grain side, still seems strong, demand on grain. We had moved quite a bit of grain. We are doing well on the Canadian side as well as the US side exceeding the government mandate. On the Canadian side, we’ve seen, effectively looking forward, we see a more typical crop that we’re harvesting and that we are moving now. We see finishing the crop year instead of the 17 million to 18 million metric ton to carry over it would be normalized. At the end of this crop year it was about an 8 to 9 which essentially is at historical levels, but again through this year, we are going to see very strong grain movement similar to this past year. On the US side, I am very encouraged that we’ve called up, essentially called up with our backlog North Dakota, grains moving well in South Dakota with the RCP in partnership with us. So overall, very, very positive trends in the surface side and the revenue side with grains. So, with that said, very ambitious plan we laid out a couple weeks ago, but we are very bullish on it. Again, in spite of the volatility, on the crude side we see continued growth there. We don’t see anything that’s going to prevent us from being able to making our guidance in the 2015 and we see a lot of opportunities. We continue to drive this discipline on repricing the book of business driving service revenues. Intermodal gains again domestic continues to be strong. So, it’s all very positive trends for us as we look forward on the revenue side. So, that’s it. I’ll turn it over to Bart and comment on and converting it to the bottom-line.
Bart Demosky: Okay, thanks, Keith and good morning everyone. As Hunter mentioned, Q3 was definitely another quarter of records for CP coming on the back of a strong operating performance from the business that Keith just outlined. Our record quarterly revenues up almost $1.7 billion, record operating income and net income of $621 million and $400 million respectively are resulting in a diluted EPS 231 or a whole 26% increase versus last year. And as Hunter has highlighted, the bottom-line of all of that was a record operating ratio of 62.8% or up a whole 310 basis points and factoring out the stock-based comp and grain revenue cap rate and true performance was up 61%. So just an outstanding result. From an operating expense standpoint, there are a couple of items I’ll highlight this quarter. With a 15% run up in the stock price of the quarter of $39 per share, stock-based comp drove most of the uptick on the common benefits line. Fuel was up $23 million which is really a reflection of higher workloads to their volume variable expenses and some unfavorable foreign exchange headwinds in both 789 in the quarter. But that was offset by the 3% improvement Keith’s team made on the fuel efficiency front. We did see an uptick in materials expense in the quarter, which is a reflection of higher input costs and the insourcing of work previously done by third-parties. Equipment rents continue to be very favorable with the savings on our seat reductions, following the impacts of higher volumes and some inflation that headed from that front as well. And lastly on the expenses front, purchased services continued to see improvement driven by lower casualty costs that Keith highlighted and the insourcing initiatives that the company has been undertaking in the last 12 to 18 months to reduce IT and third-party maintenance costs. Now, all that said, we are coming into the fourth quarter now. As it’s fair we are common we are expecting to see a bit of a seasonal uptick as we finish up our locomotive overhaul and car maintenance program. We are also going to see a one-time benefit of about $18 million as a result of a settlement between CP and the DC government over timber and stone rates that’s shows a little lag, lands that was previously owned by CP. So net, net we are looking at a modest sequential uptick in purchases in Q4. As we look forward, cost will continue to get a bit harder during the quarter and we’ve got foreign exchange with a headwind on the expense front. So, the team is definitely going to be digging deeper than they focus on cost control. Now that said, we are seeing strong RTM growth. RTM is up over 8% and cost up less than 4%, backing out FX we are actually up less than 2%. But we are clearly growing our revenues at a low incremental cost and I was looking to the numbers, if you look at those RTMs up 8% and the volume variable expenses come with it, that was more than offset by additional – really all of the expense increases in the quarter is due to intended cost headwinds. We have taken a number of steps over the last several months on the tax front to optimize our tax planning strategies. As a result, the effective tax rate in the quarter came in at 27.2%. That’s against our guidance of 28% for the year. I expect to end the year with an annualized tax rate in the range of 27.5% to 27.7%. And as we outlined at Investor Day, we are continuing to work very hard at bringing our corporate tax rate down and we are forecasting 27.5% going forward. Rest assured, we are going to continue to work on that and see if we can optimize it further. We also are blessed given the operational results to be producing record amounts of free cash and that underlying free cash flow continues to grow. Net of dividends, we generated $610 million of free cash year-to-date which is more than double where we were this time last year. And that brings me to how we are putting the free cash to work for our shareholders through repurchases. We’ve got an excellent start to the share repurchase program. We successfully completed the first 3% of that program in this September buying back about 5.2 million shares at an average price of $187, that versus the 193 variable weighted average price during that time period were $6 per share savings. And we subsequently increased the limit to 8% which will allow us to repurchase up to an additional 7.3 million shares through March of 2015. Now as part of that upside and we also filed an automatic share purchase plan into CSX and simply that allows us to purchase shares during blackout periods using some preset parameters. But pleased that we’ve been able to take advantage of some of the recent market softness by buying back stock at the press level. The bottom-line we see repurchasing our share as a strong value proposition for our shareholders. So thank you very much. With that, I’ll turn it back to Hunter for closing comments.
Hunter Harrison: Thanks, Bart and Keith, good job and good presentation. And let’s with that, we'll be happy to take questions the group might have. 
Operator: Thank you. (Operator Instructions) Your first question comes from Scott Group from Wolfe Research. Please go ahead.
Scott Group – Wolfe Research: Hey, thanks, good morning guys.
Hunter Harrison: Hi Scott.
Scott Group – Wolfe Research: So, I am sure there will be a bunch of questions on crude. Maybe I’ll start with this to you and we can tack on early. So, can you talk about the key spreads that we should be watching and where you think these differentials need to be on a longer-term basis? Can you talk about the cash cost to production of your customers within the guidance for crude volume to increase about 100,000 cars next year, what’s the actual increase in loading capacity of the customers you are serving? And then lastly, on the growth that you’ve guided to, what percent of that growth – contracts on already and are they take or pay? So, I know a bunch of questions if you need me to repeat anything I will, but those are kind of the key concerns we’ve been hearing on crude the past couple of weeks.
Hunter Harrison: We’ll probably tag team on this Scott. Let me take the first one and we would take the note then we will add that for you to restate some of those questions. So, let’s start with the spreads, I’ll speak to those and then I’ll let James provide a little color on some of the other items. So, effectively on the light, the key differential for spread we watch is clear book spreads. Effectively, ten bucks or so coverage rail cost, so in terms of the economics most production can be economical in the $60 to $65 range. Now we still see a little bit of room there for some volatility before we start to see any meaningful production cuts in North Dakota. So, we think relatively short-term, when we think relatively longer term. Heavy crude, the spread we watch there is WTI to the Western Canada select. Again that spread long-term to pay for all the investment and transportation 20 bucks is sort of the number. So we are under that now, but given the money that these producers have invested, we think the spread can be acknowledged 15 buck range short-term and we are going to see things keep shipping. You got to keep in mind, these facilities they’d be all they start $200 million to $250 million. So they are not going to fill the baby up with the bath water overnight with spreads. Still some volatility that they expect. So, hopefully that gives you a little color on spread piece. James, do you want to talk about the books business in a bit more detail?
James Clement: Yes James Clement, Vice President, Strategic Planning. I’ll put a little coloring on both capacity and some of the contracts. I think those were two of your questions, Scott. In terms of capacity, we had outlined a number of projects that were going to contribute to the growth in the origination on our network. Again, we don’t see any risk around those projects. Those Bruderheim which is up and Hardisty which is up and running, Edmonton Rail Terminal, that’s under construction and then, we see some facilities in the Crabert area as well. So, we continue when we look to that longer-term guidance to expect those high quality projects to proceed. In terms of our current book of business, we are at about 40% with take or pay contracts at this point in time and that’s spread between a couple of our facilities and so that will help offset any of the near term volatility as well.
Keith Creel: I think a final comment, something to keep in mind. The strength of this franchise, I talked about this a couple of weeks ago without sourcing the heavy crude, to the West Coast obviously the spreads can be smaller, because the transportation going to haul is not as long, which serves our franchise as well as well as moving to the Texas got a same story. So, we are positioned well throughout this volatility, still with a strong growth numbers we see as an opportunity in the crude side.
Scott Group – Wolfe Research: Just one follow-up for you James. You mentioned, Bruderheim and Hardisty and think a couple others. If you just add up all the loading capacity that you see coming over the next year, how much is that ion a car load basis or a barrel basis relative to the guidance of 100,000 car increase that you’ve given us for next year.
James Clement: If we add that all up and if you looked at – excuse the name plate capacity, it would be a healthy margin above that. We are not banking on a 100% market share of a 100% of the name plate capacity. We would be expecting something 300,000 car loads plus origination capability.
Bart Demosky: Remember as well, Bruderheim for example is competitively served. The Edmonton rail terminal will be jointly served. So, there is some discount there.
Scott Group – Wolfe Research: Okay, great. And then, one just last small question, stock-based comp. What was the – when you give the initial guidance for the year, what was the stock-based comp headwind you were modeling to? And then is there anything you are doing to smooth out or minimize the stock-based comp rest goes in future years?
James Clement: Just in terms of the – it’s part – just in terms of the first question, we had modeled in some modest stock-based comp headwinds and that at present since, if you are talking about hedging or something, we are not contemplating hedging currently on our stock-based comp earlier.
Bart Demosky: Now the only other thing Scott, I would add is that, we are – as a result, we have taken a look at the whole comp package which needed reviewing and there is a possibility that we would take part of this out and convert to options which do not has a volatility associated within the DSUs and other comp does. So that in itself would remove some of the volatility in that. Hope you can appreciated we start budgeting, we will have to call some of you as what the stock price is going to be, so we can set our budget. It’s a little difficult task.
Scott Group – Wolfe Research: Okay, all right. Thanks a lot for the time guys. Really appreciated.
Hunter Harrison: Welcome, Scott.
Operator: Your next question comes from Walter Spracklin from RBC. Please go ahead.
Walter Spracklin – RBC Capital Markets: Yes, thanks very much. Good morning everyone.
Hunter Harrison: Good morning Walter.
Walter Spracklin – RBC Capital Markets: Just following up on the OR question, you have the 65 OR guidance or better for 2014, but I think with the stock-based comp that’s trended or has it probably has a negative impact on the guidance or are you still kind of pointing to 65 or better even despite the stock-based comp, because I know that in fourth quarter you typically have a seasonally a little bit worse than third quarter operating ratio. So trying to make the numbers work in a model for that as it relates to your guidance.
Hunter Harrison: The short answer is that we are comfortable with the gas. I think that once again, that spent some degree on stock-based comp, but at the same time, we’ve had a nice start in fourth quarter. Of the synergies that we are in here and the efficiencies of third quarter end. And I would kind of remind if you look at last year, the last two weeks of the fourth quarter we’re pretty rugged with weather, the last two weeks and we don’t have to encounter that. So I think we are anticipating a very nice quarter and we are comfortable with our data and so certainly just plus or minus very close.
Walter Spracklin – RBC Capital Markets: Got it, okay. And then on grain, I know, Keith, you mentioned there is a little bit less of a – or a significant decline in your carryover. We were of the view that you would be carrying over a significant amount from this year's very significant crop and that would lead to another very, very good year for grain. Are you – with the volatility in the carryover amount, should we be modeling the same type of level you have been doing in grain this year off the significant crop? Or should we have a relook at those estimates for next year, given less of a carryover?
Keith Creel: I’d say through this crop model the same – Walt, I want to clarify my comment. I was speaking more to the carryover being more normal or historical from 2015 to 2016. So we’ll finish out the 2015 crop year into next summer effectively with that normalized carryover for the 2016. So for this current crop year model, the same as you did for last year.
Walter Spracklin – RBC Capital Markets: Got it. Okay, that's my two questions. Appreciate it.
Hunter Harrison: Thanks Walt.
Operator: Your next question comes from Brandon Oglenski from Barclays. Please go ahead.
Brandon Oglenski – Barclays: Yes. Good morning, everyone. Congrats on the quarter. Bart or Keith, I just want to ask about the comp and benefit line. So it looks like you had about $30 million year-on-year of additional stock comp. So what I want to ask is, where do you see the run rate of your compensation and benefits right now? And just given a pretty robust growth outlook, should we be thinking you hit – and maybe this is more for Keith, but have you had the labor efficiency targets that you’d like to see in the network or how should we be modeling headcount heading into 2015?
Bart Demosky: Yes, thanks. This part, I’ll take the first part of that question and then turn it over to Keith. We are running currently, probably $1 change in the stock price about $800,000 $850,000 of headwind or tail end now which direction the share price goes. That worked without any changes to the stock-based comp and Hunter alluded to the fact that we are reviewing that. If we kept our current program, that would bump up a little bit next year, closer to something like $1 million per $1 stock price change. Hope that helps you with the run rate numbers. Keith?
Keith Creel: Yes, I would say on the headcount, there is still some room for improvement. We guided, we talked about another 1000 to attrition to efficiencies. So there is definitely an opportunity. We’ve got knock on woods. We’ve got collective agreement to set for ratification. On the US side, that would give us some synergy. It’s not all of it certainly, but it would be helpful. But again, even if we don’t get that ratified now, I am optimistic that’s going to happen later, but we’ll stick to the number and the 4900 is pretty strong and we expect some additional improvement on that side.
Brandon Oglenski – Barclays: Okay, appreciate that. And for my second one, lot of investors and analysts look at carloads right, because we see the visibility every week. But you guys have been running very favorable mix on the RTM side. Is that also something that you expect is going to carry over into next year, Keith or should we start to see some acceleration in units as well?
Keith Creel: I think, RTM, we are going to be pretty similar. We are going to see strong single-digit, low double-digit growth for next year, you’ll see similar – and I’ll take into the RTMs a lot more than it would on the carload side.
Brandon Oglenski – Barclays: All right, appreciate it.
Operator: Your next question comes from Tom Wadewitz from UBS. Please go ahead.
Tom Wadewitz – UBS: Yes, good morning. I wanted to ask you about grain and just – instead of the Canadian grain yields, I know there's a bit of noise in that line, so just wanted to see if you could help us understand the dynamic with the 7% decline in the quarter. And then, how we might think about that in fourth quarter and the next couple of quarters just in terms of modeling the change in year-over-year revenue per car for Canadian grain?
Hunter Harrison: You are going to see a continued headwind through the fourth quarter. So, similar to what you saw in the third quarter is what we are going to do in the fourth quarter. You’ll start to see that become a tailwind for us. First quarter 2015 and strong tailwind second quarter 2015.
Tom Wadewitz – UBS: So in terms of year-over-year change, similar in fourth quarter and then it becomes year-over-year growth in revenue for car in first half of 2015?
Hunter Harrison: Yes, little bit in first and whole lot in second.
Tom Wadewitz – UBS: Okay, great. That I appreciate that, that's helpful. And in terms of the operating ratio, how would you think about the pace of improvements in 2015? I mean, you guys have obviously a lot of productivity opportunities the next several years and you've got a pretty robust revenue outlook for 2015. Is it possible that you approach a 60% OR in 2015 or is that too aggressive in terms of the – potentially what you could do next year?
Bart Demosky: Hunter may have some comments seems normally does, let me speak before he does. So I am going to have a disappointing leader if we don’t see a low 60s number in 2015. 
Hunter Harrison: Agreed.
Tom Wadewitz – UBS: I mean, is 60% unrealistic to think you might touch that or is that in the realm of possibilities?
Hunter Harrison: But certainly not unrealistic. We’ll be careful about my remarks interpreted, but if you look at the run rate, Tom that we are going to have third and fourth quarter, you take the seasonality out of first or factor that in what impact that will have. I think you will see second, third, fourth quarters, that will be knocking on 60 and might break through and then whatever impact the first quarter from a seasonality standpoint, you can factor that in and it will have some potential negative impacts.
Keith Creel: Yes, to Hunder’s point, you’ll know a lot after the fourth quarter, get a little bit more color on that. First quarter of last year was one of the worst first quarters I’ve ever dealt within my railroad life. And I pray that I don’t have another one and I am optimistic we want it to be a more normalized winter. That’s what I pray about every night. If that happens you are going to see our comparables to the last year will be favorable for us overall for the year.
Bart Demosky: Tom, it’s hard, just one thing to add and to keep in mind as we are going through at the year is our pension extends as well, obviously interest rates have been falling and that does have an impact on the liability calculations, so that stuff is factored into the next 12.
Tom Wadewitz – UBS: Right, okay, great, I appreciate it. Thank you for the time.
Hunter Harrison: Thanks, Tom.
Operator: Your next question comes from Bill Greene from Morgan Stanley. Please go ahead.
Bill Greene – Morgan Stanley: Yes, hi, good morning. Thanks for taking the question. Bart, I wanted to start with you. I know we are going to do an M&A call later today. So we don't have to speak to that, but can you speak about the balance sheet within that context? In other words, when we think about levering it up to buy back shares, do you pull back a little bit from that given that perhaps M&A would happen? Can you talk a little bit about that? And of course, Hunter, if you have views we would love to hear them as well.
Bart Demosky: The only thing I’d say, Bill, is that our balance sheet is in fantastic shape. We do have fairly significant amount of dry powder put to work to shareholders and you probably look at the numbers, as anybody is, and our view on it is simply this, whatever is going to – they as you highest return for shareholders is where we are going to put our dollars. But right now we see that in our share price. I can’t speak for the M&A space. Hunter is going to talk a lot more about that in a short while here, but obviously, if something ever did come up, we would direct the dollars there which is more beneficial place to capture the highest returns for shareholders.
Hunter Harrison: Bill, I don’t think there much to add there. I think, I agree with Bart totally. We are going to proceed like we are going to proceed and then we will react as the market potentially changes.
Bill Greene – Morgan Stanley: Okay, Hunter, can you speak to the potential for a labor deal? Any updates there; anything that's new on that front?
Hunter Harrison: Well, Keith’s remarks earlier, it’s certainly encouraging, number one if we got in the initial agreement that just indicates that the labor leadership and management agreed. Now we’ve got some issues that we got voters we got to deal with and there is some issues about change in trust and so forth that we are going to have to deal with. If I had to put some odds on it, I think it’s probably 50-50 at this time. But to Keith’s point, I think, it indicates a major breakthrough additively and if it didn’t happen this time, it’s closed. So, I am very hopeful, but if we don’t quite make it, then we’ve got another alternative to look at and I would imagine we would come back with another that same type agreement, maybe fine tune to the voter a little bit and hear their responses and bottom-line, it’s all good.
Bill Greene – Morgan Stanley: Great, thanks for the time.
Operator: Your next question comes from Ken Hoexter from Bank of America Merrill Lynch. Please go ahead.
Ken Hoexter – BofA Merrill Lynch: Great, good morning. If we could just take a little bit more on the yields, as you talked about Canadian grain turning down, negative growth rate in the quarter. Can you kind of dig into the why it was down and similarly potash slowed sequentially and also turned down negative sequentially in chemicals on a yield basis? I'm talking just strictly on yields, was there an impact on congestion that decreased yields? Was there something else that kind of overhung on the yield growth potential there?
Bart Demosky: The yield on the grain, it’s all about the MRE in Canada. So last year, simplify as we overcharged. Effectively, in the third and fourth quarter and you got adjusted and if you don’t give it back in rate concessions and you are going to pay utility that’s effectively what it is. So we will get two comparables, again, first quarter and second quarter where we are not giving back and it’s a more consistent approach. We changed our approach. We are not overcharging. We are trying to stay right with the MRE on an annual basis. So you are not going to see this happen again to the best of our ability as occurred in the past. So that’s what’s driving the yield difference to the tier rates on the grain side.
Ken Hoexter – BofA Merrill Lynch: And then, you just comments on the others, on the other two that were down, I guess in terms of bulk, the potash chemicals also seem to come in terms of growth rates. Was there anything kind of on the yield basis, as I mentioned, was congestion an issue in terms of yields or huge mix changes on those?
Bart Demosky: We wouldn’t say there was any congestion impacts on the yields. In potash, there certainly is a little bit of a mix play between how much you have on moving in domestic versus exports lane. The characteristics of the moves are quite different and we saw the export side quite strong in Q3 and that’s what drove a little bit of the mix in there. If you look, you had ARC of 6%, or average revenues per car, or what your cents per TM on potash were down a little bit. And that’s because of the longer haul on the export moves. So that’s what we are seeing there. And on chemicals, maybe I am not following what you are looking at because we saw the revenues for car up 7% on our chemicals and plastics business and our dollars per RTM up 6% and we think we had some good pricing practices in how we dealt with the contracts and the mix of business in that area.
Ken Hoexter – BofA Merrill Lynch: I guess, there I'm looking sequentially, just to throw it out there. It was almost 3185 and below 3100 this quarter. So, from second quarter to third quarter, and then the growth rate got cut in half from over 13% to 6.5% and that's similar to each of the commodities that I mentioned it was the same thing in potash and obviously Canadian grain we saw it. But that's what I was referring to on the chemicals side.
Bart Demosky: Chemical is moving on nicely. I don’t have the sequential number right in front of me. But, we are doing the right thing and we are happy with how that book is performing and the mix of business we have there.
Ken Hoexter – BofA Merrill Lynch: Right, thanks for the time. I’ll follow-up later. Thanks.
Operator: Your next question comes from Turan Quettawala from Scotiabank . Please go ahead.
Turan Quettawala – Scotiabank: Yes, good morning. I guess, my question is, just to go back to your guidance for a second here. Obviously, it looks like you guys are pretty much on track to deliver your EPS and your OR guidance and you’ve probably would have beaten here quite nicely had it not been for the headwind, I guess from the winter as well as stock comp expense which has been talked about. I guess, my question is, are those really the two major headwinds that you had maybe in the year? Or is there something else that maybe either went better than your plan or maybe went against your plan. Just trying to understand about some opportunities and challenges maybe with regard to your guidance for next year? Thank you.
Bart Demosky: Turan, it’s Bart. I think you captured the two big areas and it’s worth sitting here today. We are not seeing much in the way of material items that we say are going to be big tailwinds or headwinds. Foreign exchange is obviously working a bit for us right now and I mentioned pension expense being something that could be a headwind for us next year just depending on how interest rates perform over the last few months of the year. So, those are two things I’d see the rest of the decision.
Keith Creel: Yes, let me add one thing that I am encouraged about, I think this from a tailwind for us. We talked about a lot our domestic intermodal product continues to be well received in the marketplace, strong demand actually ceding some of our capacity at times on the domestic intermodal trains. We got an opportunity to improve the quality of the book. The grain that’s moving on that train and we are starting to see recognition in the marketplace for the service as well in the international side. So, more to come on that later, but very optimistic on some opportunities international as well as domestic that could give us some tailwind that I am pretty happy about.
Turan Quettawala – Scotiabank: That's great, Keith. Are there – I think – did you just say that there were some contracts coming up for renewal? I believe there are a few of these that are coming up over the next year is that right, on the international side?
Keith Creel: Yes, we are in the process of negotiating with our current contracts. I can tell you that one of our three we just recently re-negotiated, again, favorable to the book of business and certainly one that reflects the discipline on our proxy side that recognizes the service we put in the marketplace. But more to come up from the different opportunities as well in the near future, some other contracts that we are negotiating. So, very encouraging.
Turan Quettawala – Scotiabank: Thank you very much, that's helpful. 
Operator: Your next question comes from Benoit Poirier from Desjardins Capital Markets.
Benoit Poirier – Desjardins Securities: Yes. Thanks. Good morning. Just to come back on the crude by rail question, you mentioned about the potential for 300,000 carloads for the origination. I was wondering if you could provide a number once you include all the new terminals that have been announced. I would assume that you are not including the potential with EnCana, Dakota Gold, Port Arthur, and also Kinder Morgan?
Bart Demosky: Kinder was being that Bruderheim can access Kinder as well as – and then, not that’s going to be in 2016, right. Yes, that goes to the primary three that are driving it, Benoit. 
Benoit Poirier – Desjardins Securities: Okay and just for – with respect to Hardisty, revenue per carload on the crude by rail side was close to $4,400. Should we expect this number to come down a little bit as Hardisty is ramping up, given there's more focus on the short haul?
Bart Demosky: No, I would not model that. 
Benoit Poirier – Desjardins Securities: Okay, and just for the second question, when we look at your RTM quarter-to-date -- obviously it's only a few weeks, we are up 3.5%. What should we expect in Q4 and especially on the coal and grains side?
Nadeem Velani: Yes, Benoit, it’s Nadeem, I would just point out we had the RTMs we reported, there is a bit of noise, I think giving a year-over-year kind of changes. We are right now actually closer to 6%, 6.5%. You should see a similar kind of quarter both on RTMs and on cents per RTM.
Bart Demosky: 6%, 6.5% demand, our seven day numbers are recent trends are even stronger than that. Hunter mentioned it a moment ago. I’ll just tell you, October could be a record revenue month for CP Rail. That’s what we are seeing right now. So, we are very confident in our outlook on the fourth quarter Benoit.
Benoit Poirier – Desjardins Securities: Okay, thanks very much for the time. 
Operator: Your next question comes from Chris Wetherbee from Citi. Your line is open. 
Chris Wetherbee – Citigroup: Okay, thanks. Good morning. Keith, maybe a question on the US operations side, just kind of curious how things were trending towards the end of the quarter and as you head into the fourth quarter, how much more progress do you need to make there, particularly if you think about the interchange with the RCP&E? I think you mentioned things were getting a bit better.
Keith Creel: Yes, the RCP&E, they’ve gotten their legs under the locomotive that got cars, I think they are doing a pretty solid job on moving the product they’ve got. We are working well within taking trains over Tracy and Interchange. So I am very encouraged with the progress there. Minneapolis same call, we continue to work close to with our partners there. The investments that we’ve made last year, we are seeing some improvements. We’ve taken those West bound trains out of that grid so to speak over an own route. Starting to see year-over-year increases in train speeds. Reduction in dwells, Chicago is and will remain a focus area for us and it’s very fragile. I guess, I am being optimistic with my comments side. I can’t predict what’s going to happen in Chicago, but I do know enough about this business that if we have a winter like we have last year close to it I am concerned, but with that said again, we are being very proactive, some might say aggressive, I would say we are engaged. We are trying to do all that we can do to ensure that the bridge carriers, the bell, the harbor those that benefits the entire industry are performing to their utmost fast which will benefit CP, which will benefit every other carrier that utilizes their services. So we are doing all the things that we know how to do, but again, I don’t have a crystal ball for winter. And I do remain concerned about the fragile state of that overall terminal in Chicago. 
Chris Wetherbee – Citigroup: Okay, that’s helpful That's probably be – the biggest area of concern as you are heading into this winter, just from an operational perspective it’s got to be – still be Chicago, it's always going to be that at this point?
Keith Creel: If I’ll guess it’s steady state and current state of operations in Chicago, it’s going to be remain my number one concern today and I am sure, first quarter, second, third, fourth and next year, not getting any better in Chicago. That’s for sure, this business grows for all the railroads if this puts additional pressure on a place it’s already very fragile.
Chris Wetherbee – Citigroup: Okay, that's helpful. And then just a follow-up on the coal side, just trying to get a rough sense of how you guys are thinking about maybe the Teck business, the export business off the West Coast. As you think about 2015 obviously, that market continues to be a soft one, but Teck appears to have the ability to produce at a relatively low cost. Just want to get a rough sense maybe how you are thinking and framing up the volume outlook for 2015. 
Keith Creel: I’d say, model the same thing pretty flat 2014 versus 2015. Teck is, they sort of taken off less and that depends upon China it’s only 25% of the business. They are strong low cost provider and we effectively are the ones that are helping them playing that game. So as long as Teck is competitive in the marketplace, they are going to be strong, we are going to be strong as a result as to great partnership I would again, long answer to your short question, that’s seem to same for 2015 as you see in 2014. 
Chris Wetherbee – Citigroup: All right, great, that's helpful. Thanks for the time. Appreciate it.
Operator: Your next question comes from David Newman from Cormark Securities. Please go ahead.
David Newman – Cormark Securities: Good morning. Just on the – back on the crude for a second; obviously, in this kind of commodity price environment, the likelihood of more pipelines getting built is probably tenuous at best. Do you think there is a chance that the rails could pick up a greater share or conversely maybe take the take-or-pay percentages up over time?
Keith Creel: Well, I definitely think the take-or-pay percentages the strength of our franchise can go up over time and I do think there is an opportunity to take more share. I mean, again, I don’t have a crystal ball, but, in this environment for a pipeline to be dealt, that they – still talking seven, eight years out. So, what I call long-term in our four year plan and again, I am very bullish on. 
David Newman – Cormark Securities: And as you shift over to more crude, I mean, wouldn't that naturally flow that you can probably take that take-or-pay percentage up, Keith?
Keith Creel: Yes. 
David Newman – Cormark Securities: Okay, very good. And just maybe, Bart, your $610 million on free cash flow year-to-date and I think the soft for guidance was $1 billion to $1.2 billion, are we assuming that Q4 is going to come in very strong on the free cash flow basis and maybe what are sort of the puts and takes around that? 
Bart Demosky: Well, we – David, we don’t actually guide on cash, but the $610 million is net of dividends of course.
David Newman – Cormark Securities: Yes. 
Bart Demosky: And, we are looking as Hunter and Keith have outlined it, we just believe it’s going to be a very strong fourth quarter. So, my view is not changed on where our free cash is going to end for the year. 
David Newman – Cormark Securities: And I know it was just a couple weeks ago, but any further developments on the monetization of the assets so you are not as reliant on the balance sheet to do the buybacks?
Bart Demosky: No, nothing new there. We talked about the D&H at our Investor Day and we are in great shape though from a balance sheet point of view and with some cash on the balance sheet currently, we can put to work for buybacks and you are going to continue to see it in the market. 
David Newman – Cormark Securities: And when do you anticipate the D&H might close or when you finally get an agreement gets manned?
James Clement: Well, it’s James. We think that we will have an agreement this quarter and then it needs regulatory approval through the FTB. So that would put closing sometime in 2015, probably second half 2015. 
David Newman – Cormark Securities: Very good, excellent. Thanks, guys.
David Newman – Cormark Securities: Very good, thank you.
Hunter Harrison: And David, the only other thing I would add is that, any asset sales whether it be on the real estate side or any part of the network, cash flow coming from that is entirely incremental to our business plan. So it’s all upside. 
David Newman – Cormark Securities: Very good, thank you. 
Operator:
 :
Jason Seidl – Cowen & Co: Hey guys. Getting back a little bit to some of the comments made regarding some repricing of some legacy contracts on the coal side. Were they reflected in the 3Q results or is this something that we should see start in 4Q when we are looking at your yields? 
Hunter Harrison: You’ll see a little bit of it in the fourth quarter. You’ll see all of it in the first quarter, nothing in the third quarter. 
Jason Seidl – Cowen & Co: Nothing in the third quarter, okay, fantastic. Also, when I am looking at the yields, a little bit surprised that the domestic intermodal side didn't start creeping up, especially when we're looking at some of the pricing on the truck side. Is that’s something that was impacted by mix, was it shorter length of haul business? Is it something we should expect to trend up sequentially?
Hunter Harrison: Yes, it’s a mix issue that I’ll look at. What we are trying to do is balance the networks. So we picked up a lot of east bound back off rate which obviously is not as profitable to head off. Overall, those are book of business and our intermodal has improved. Our bottom-line focus is moving in the right direction. So as we continue to evolve this thing, we will pick up a little bit as increased profitability on the international, we are going to do that same thing on domestic and you’ll start to see a change little bit next year.
Jason Seidl – Cowen Securities: Appreciate the time as always, guys. Thank you.
Operator: Your next question comes from Allison Landry from Credit Suisse. Please go ahead. 
Allison Landry – Credit Suisse: Good morning. Thanks for taking my questions. So I wanted to ask another question on crude but, sort of from a different perspective. You've clearly laid out that you are comfortable with the near and long-term guidance, but in the event that the opportunity does end up being significantly smaller than your initial expectations, what are some of the key or different other levers that you might be able to pull to hit the targets that you laid out a couple of weeks ago?
Keith Creel: Well, I think, number you got to understand that, we are conservative for the opportunity on the crude side. So it would have to take a meaningful drop for to really be material to the point that I’ve been talking about guidance. So I think that’s important to understand, I think it’s important to understand that we remain very strong in our merchandise, from our service. Our box car business is picking up. The chemical business is doing well. The frack sand, even if crude production goes down, just the changes they’ve made is for us the way there effectively mining for this crude is increasing demand for frack sand. It’s two to three times up over so. So over prescribed, so there is a lot of pent-up demand that we can see some softness and again from material standpoint, I am not going to lose sleep at night, certainly not with what I see today. 
Allison Landry – Credit Suisse: Okay, perfect. And then in terms of pricing, you mentioned it was around 4% during the quarter, a couple of your peers have talked about the rail pricing environment is strengthening, and in light of your comments that the quality of the book is improving on intermodal side, as well as what you have done sort of on the coal side, though that may not be hugely incremental, what do you think about the potential for the 4% to accelerate in 2015?
Keith Creel: I would say models up the same. 
Allison Landry – Credit Suisse: Okay,
Keith Creel: 4% is a pretty conservative number, we think it’s a number we are comfortable with. We think we can grow with our customers and there is puts and takes every day, but that 4% is a solid number.
Allison Landry – Credit Suisse: Okay, great. Thank you very much.
Operator: Your next question comes from Kam Mangat from Salman Partners. Please go ahead.
Kam Mangat – Salman Partners: Good morning. Just want to circle back on the domestic intermodal business. You continue to see a nice growth rate in that business and I know that that that’s one of your key growth areas. You are making some gains as a result of your service level improvements on some of your key routes. Just wondering if you could break down the growth as it relates to some of the key underlying economic trends. Just wanted to kind of get an understanding how much of that growth is related to the service level improvements you've made?
Keith Creel: I would say the preponderance of it’s all about service level. It’s taking stretch out the highway. We take in some share from our competitor, but the main driver, is stretch off the highway. There is such compelling difference in price and cost of moving it rail versus that gives us lot of strength there as long as we’ve got a consistent service which is what we had to put the marketplace and effectively establish some street credibility. Doors are opening and opportunities are presenting themselves from decision-makers that effectively put their job and they put this time-sensitive freight on the rail. So, again, outside of economic drivers, just existing opportunities there. There is still a lot of meat left on the bone and an opportunity for us even with our existing customers as we shift away from contract business to tariff business that continually improved the quality of the book of business on that train and then of course what you do that, the whole next level of growth is, you get to a point, maybe you want to add another train. So we are not there yet, it’s certainly some opportunities still left to be mined with that service. 
Kam Mangat – Salman Partners: Okay and just thinking about 2015, when you are during your guidance or you outlined your targets, how much of the domestic intermodal growth did you attribute just to the service level improvement and how much to improving economic climate? 
Bart Demosky: Kam, we’ll get into our 2015 guidance in January, typically that’s when we’ll do our guidance. So, we’ve outlined the 2018 kind of targets and the key drivers for the long-term plan. We’ll get into more kind of near-term 2015 in January. 
Kam Mangat – Salman Partners: Okay, great. And just one last question on hiring trends in some of your key regions like the Bakken. In the past, you’ve mentioned that sometimes attracting labor in those regions has been a little bit difficult, just given what's been going on with oil and gas. How is that trending for you as of right now and how do you see that going in Q4?
Keith Creel: Number one, we’ve been successful with our initiatives trying to attract some points, we’ve been able to higher the long-term gain of course to be able to make it stake and sustain in for that. But so far, so good. Although we have had some headwinds there, we got some pretty crazy things with incentives to get people to relocate there. We’ve actually created some lodging facility for our crews to stay and to return to provide some future covers that allowed employee the motivation to pick us as an employer of choice. The real gain though, this collective agreement if we can get that nice cracks, you are talking about an opportunity for the employees to make a whole lot more money, for the company to be more productive to have a whole lot better quality of life and all of those things are powerful, powerful motivational levers for attracting and maintaining employees. So I am going to follow-on that, but we are encouraged with it. 
Kam Mangat – Salman Partners: Okay, great. Thank you for taking my questions. 
Keith Creel: Thank you.
Operator: Your next question comes from Jeff Kauffman from Buckingham Research. Please go ahead. 
Jeff Kauffman – Buckingham Research Group: Thank you very much and congratulations everyone. I just wanted to follow-up, Bart, lot of my questions have been answered at this point, but just to quantify, you mentioned that if you don't do anything to stock comp it will be about $1 million for every $1 change in stock price. I assume if the stock price drops, you are clawing back some of that accrual, correct? 
Bart Demosky: Absolutely, it’; just $1 million either way depending on which way the share price moves.
Jeff Kauffman – Buckingham Research Group: Okay and you mentioned about pension with the interest rates. Do you have kind of a ballpark idea if we just took today's interest rates kind of how meaningful that impact could be?
Bart Demosky: Just for backlog for you, I think for every way to think about it is every 10 basis points move in the underlying interest rates is about $13 million on the expense. At Investor Day, we don’t mind a view that next year we would have a modest expense. I think we are at around $10 million I was assuming 4.55% on the interest rates. Rates has come down a bit since then. So, the number is sitting here right in front of me, but that number would be higher going into next year, if rates held the same. That’s the most sensitive part of the calculations and it’s purely just the math. 
Jeff Kauffman – Buckingham Research Group: Okay and the final clarification. Currency, I don't think any of us expected the Canadian dollar to drop the way it has this year. Who knows, what happens next year, but your average price on the dollar so far is around $0.91, $0.92. Generally, we think for every penny I think it's $35 million annualized revenue benefit, $20 million higher expenses. Is there anything you are doing to change those relationships or any reason to believe the relationship would be different in 2015? 
Bart Demosky: No, in fact, we understand our currency exposure very well. There is some big components that are – whether it is fuel being one of them in particular. But we are very – we got a very strong natural hedge within our book of business. And one of the things to keep in mind as we’ve seen the Canadian dollar weakening here is, it’s highly correlated with crude. So, if you think about our book of business and how revenues will move up and down in relation to the currency as well, we’ve got a strong hedge there on the revenue side, so we are very comfortable and probably would look and give you the same guidance going forward.
Jeff Kauffman – Buckingham Research Group: Okay, I just wanted some clarifications on those items. Thank you.
Bart Demosky: Yes, Jeff, I would just add that, below the line I do remember operating expense to take on US dollar debt that also helps support that natural hedge as well. So, one thing that I am sort of overlooking to. 
Jeff Kauffman – Buckingham Research Group: Okay, thank you.
Operator: Your next question comes from Steven Paget from First Energy. Please go ahead. 
Steven Paget – FirstEnergy Capital: Thank you and good morning. On business development, one of your biggest recent successes was your new haulage route via CSX on the south side of Lake Erie. Could you maybe fill us in on how that came about? Are you working on other high-impact partnerships? 
Keith Creel: Well, I just say that, that’s sort of came from a deep – for us to be competitive in that lane which gives an opportunity between Montreal and Chicago, we needed to have double stack economics. We currently don’t enjoy that through. The previous route is – sort of knocked at that as a market those are seeking out that we done is filled CSX is one of the things we do part and they do their part. They can provide this conservatism to the customers we get the benefit as we can operate from the double stack and improved service level. So it’s a very encouraging development for us on international cross border intermodal service. 
Steven Paget – FirstEnergy Capital: Are you working on other similar partnerships?
Keith Creel: You know what, we are always keeping it open mind. I don’t know any that’s right now, that are broader mind that are going to knock the ball out of the park so to speak, but we are always keeping our eyes open and looking for opportunities to partner with or competing or partnering railroads provide the services converts in the marketplace. So, we can certainly as well in the near future with some other contracts than in future calls. 
Steven Paget – FirstEnergy Capital: Thank you, Keith. Length of haul on US grain is way up. What's behind that?
Keith Creel: Growth, specific Northwest. So you got grain that’s coming out of North Dakota that’s coming up to Canada, going across to the Kings and going into the West Coast. 
Steven Paget – FirstEnergy Capital: Thank you, those are my two questions.
Keith Creel: Okay, thank you. Take care. 
Operator: Your next question comes from Keith Schoonmaker from Morningstar. Please go ahead, 
Keith Schoonmaker – Morningstar: Thanks. Within domestic intermodal up 20% and RTMs in the period pretty strong, how impactful do you consider the limitations to truck driver availability as a key driver? 
Keith Creel: You know what, I think that that’s going to hold our strength and our opportunity I think as we go forward and see some of those – some of the constraints and that our service changes affect an industry, you are going to see additional demand for our domestic intermodal products. So, I think, long-term it’s very favorable for the rail. 
Keith Schoonmaker – Morningstar: And is that pretty impactful on both sides of the border, Keith?
Keith Creel: Yes, the same old story both sides of the border. Keith
Keith Schoonmaker – Morningstar: Let me ask a quick one on a section the maybe wasn't so favorable in the period and that's auto so – where your RTMs declined 21%. Is this idiosyncratic unique to this period or is this more of a secular trend?
Keith Creel: Chrysler, we lost the Chrysler contract, generally, long haul business. So you are full impact of that in the third quarter which is the first quarter to lots of that business. So you’ll see similar impacts from a comparable standpoint in fourth quarter. 
Keith Schoonmaker – Morningstar: Yes, thanks. Do you expect additional declines with MEG fuel production coming online or does this present some opportunities as well?
Keith Creel: I think it presents an opportunity. One other point I will lead everybody to, in spite of the lost revenue for the contract that we walked away from our quality of revenue on the automotive side is increasing. So again very encouraging as we drive disconnect portion of this business. 
Keith Schoonmaker – Morningstar: Okay, thank you.
Operator: Your next question comes from David Tyerman from Canaccord Genuity. Please go ahead. 
David Tyerman – Canaccord Genuity: My questions have been answered. Thank you.
Hunter Harrison: Thank you.
Operator: And Mr. Harrison, there are no further questions at this time. Please continue. Okay, thanks very much for joining us and we’ll be talking to some of you in about 50 minutes. So, thanks a lot again.
Operator: This concludes today’s conference call. You may now disconnect.